Operator: Greetings and welcome to the Q1 2020 Earnings Release Conference call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded, Tuesday, April 21st, 2020. Your speakers for today are Luis Rojo. I would now like to turn the conference over to Mr. Luis Rojo. Please go ahead sir.
Luis Rojo: Good morning and thank you for joining Stepan Company's first quarter 2020 financial review. Before we begin, please note that information in this conference call contains forward-looking statements, which are not historical facts. These statements involve risks and uncertainties that could cause actual results to differ materially including but not limited to prospects for our foreign operations, global and regional economic conditions and factors detailed in our Security and Exchange Commission filings. Whether you are joining us online or over the phone, we encourage you to review the investor slide presentation, which we have made available at www.stepan.com under the Investor Relations section of our website. We make these slides available at approximately the same time as when the earnings release is issued, and we hope that you find the information and perspective helpful.  Now, with that, I would like to turn the call over to Mr. Quinn Stepan, our Chairman, President and Chief Executive Officer.
Quinn Stepan: Thank you, Luis. Good morning and thank you all for joining us. Today, we are living in a difficult and in uncertain world. We are all concerned about our health and the health of those we love. Many people have lost their jobs and are fearful as to how they will support themselves. At Stepan, we are very fortunate that many of the products we sell contribute to the fight against the coronavirus. Our plants are running. And most importantly we have been able to keep our people employed and healthy. We have supported local first responders including Chicago Police and fire stations with free hand sanitizer and disinfecting products. We are grateful to all of our employees for their commitment to make our world healthier. Now, let me provide an overview of our first quarter performance. Given the global pandemic and the impact of the power outage at our Millsdale facility, we actually had a pretty good quarter. First quarter adjusted net income was $24.2 million or $1.04 per diluted share versus $30.6 million or $1.31 per diluted share in the prior year. Excluding the estimated impact of the Millsdale power outage, for which we have insurance, adjusted net income would have been up versus the prior year. Surfactant operating income benefited from strong volumes in the global consumer product end markets, driven by higher demand for cleaning and disinfection products as a result of COVID-19. Functional product volumes were down. Mexican operations delivered strong year-over-year earnings growth. Polymer operating income was down due to the power outage at Millsdale and significantly lower phthalic anhydride volume volumes. Global rigid polyol volumes were flat as growth in North America and China was offset by lower demand in Europe due to COVID-19. Our Specialty Product business results were higher due to improved volume and margins within our medium chain triglyceride product lines, driven by strong demand in pantry loading in the infant nutrition market as a result of the COVID-19 outbreak. Our Board of Directors declared a quarterly cash dividend on Stepan's common stock of $0.275 per share payable on June 15, 2020. At this point, I'd like Luis to walk through a few more details about our first quarter results.
Luis Rojo: Thank you, Quinn. My comments will generally follow the slide presentation. Let's start with slide four to recap the quarter. Adjusted net income for the first quarter of 2020 was $24.2 million, or $1.04 per diluted share, a 21% decrease versus $30.6 million, or $1.31 per diluted share in the first quarter of 2019. We're still in the process of determining all the impacts associated with the Millsdale incident. At this time, we believe the impact is at least $10 million on a pre-tax basis. Because adjusted net income is a non-GAAP measure, we provide full reconciliations to the comparable GAAP measures. And this can be found in Appendix II of the presentation and Table II of the press release. Specifically adjusted to reported net income this quarter, consist of adjustment for deferred compensation and cash-settled SARs income and some minor restructuring expenses. Adjusted net income for the quarter excludes deferred compensation income of $3.7 million or $0.15 per diluted share, compared to deferred compensation expense of $5.1 million or $0.22 per diluted share in the same period last year. The deferred compensation numbers represent the net expense related to the company's deferred compensation plan, as well as cash-settled stock appreciation rights for our employees. Because these liabilities change with the movement in the stock price, we exclude this item from our operational discussions. Slide five shows the total company earnings bridge for the first quarter, compared to last year's first quarter and breaks down the decrease in adjusted net income. Because this is net income, the figures noted here are on an after-tax basis. We will cover each segment in more detail, but to summarize Surfactants and Polymers were down, while Specialty product was up versus the prior year. Corporate expenses and all others were higher during the quarter due to higher acquisition-related expenses for the NatSurFact acquisition, a higher effective tax rate and foreign exchange losses. Favorable net interest expense was related to higher interest income. Company's effective tax rate was 22.5% in the first quarter of 2020 versus 19.5% in the first quarter of 2019. The increase was primarily attributable to lower tax benefits derived from the stock-based compensation awards. We expect the full year 2020 effective tax rate to be in the range of 22% to 25%. Slide six focuses on Surfactant segment results for the quarter. Surfactant net sales were $327 million for the quarter, a 6% decrease versus the prior year. Selling prices were down 3% primarily due to the pass-through of lower raw material costs. Sales volume was down 1% versus the prior year. Higher demand for products sold into our consumer product end markets driven by increased demand for cleaning and disinfection product as a result of COVID-19, was offset by lower sales volume from our functional product end markets, primarily agriculture and oil field. Surfactant operating income decreased $1 million versus the prior year, primarily due to higher costs and lost sales associated with our Millsdale plant power outage and the negative impact of foreign currency translation. These items were partially offset by a $4.2 million operating income improvement in Mexico. North America results decreased primarily driven by higher supply chain expenses and lost sales associated with the power outage incident at the Millsdale plant and lower demand in the agricultural and oilfield end markets. This was partially offset by strong volumes in consumer products driven by higher demand in cleaning and disinfection products due to COVID-19. Latin America results were up due to a $4.2 million operating income improvement in Mexico driven by 17% volume growth and margin expansion. Europe results were basically flat as higher consumer product demand as a result of COVID-19 was offset by volume reductions by one important customer. Now, turning to Polymers on slide 7. Net sales were $106.5 million in the quarter, an 11% decrease versus the prior year. Sales volume decreased 9% in the quarter, primarily due to significant reduction in PA volume, due to the Millsdale power outage. Global Rigid Polyols volumes were flat. Selling prices declined 1%. Polymer operating income decreased $4.6 million, primarily due to higher cost and volume loss associated with the Millsdale plant power outage. North America Polymer results decreased due to higher cost and volume shortfalls associated with the Millsdale incident. Rigid Polyols volumes increased by low single digits. Europe results were basically flat with lower rigid demand at the end of the quarter due to COVID-19. PA results decreased due to the Millsdale incident. Finally, China results improved on volume growth of 16% driven by a strong demand in the growing cold storage market. Our Specialty Polyol business was up with all regions growing operating income year-on-year. Specialty Products net sales were $16.4 million for the quarter, a 15% decrease versus the prior year. Sales volume declined 8% for the quarter. Operating income increased $0.9 million versus the prior year, primarily due to improved volume and margins within our MCT product line driven by a strong demand and pantry loading in the infant nutrition market as a result of the COVID-19 outbreak. Turning to slide 8. Our balance sheet remains strong. We had negative net debt at quarter end as cash balances of $254 million, exceeded total debt of $222 million. Capital spending was $33.2 million versus $25.7 million in the prior year quarter. For the full year capital expenditures are expected to be on the low side of the range of $100 million to $120 million. Moving to slide 9. We believe we have sufficient liquidity levels to operate in this challenging near-term environment. We have $254 million cash on hand, and we have access to a committed $350 million revolving credit agreement. Our debt maturity is scheduled in 2020 is only $23 million. Beginning on slide 10, Quinn will now update you on our 2020 outlook.
Quinn Stepan: Thank you, Luis. Looking forward, we believe 2020 is going to be a difficult year for our world, our country, our industry and Stepan Company. However, we believe in the current environment our business is positioned better than most. With empty store shelves around the world due to high demand for disinfection and cleaning products, our Surfactant volume in the consumer products market should remain relatively strong short-term. Falling raw material prices may provide an opportunity for margin improvement. With dramatically lower oil prices, demand for Surfactants within the oilfield market will be down. We anticipate our Agricultural business should approximate last year's results. Overall, we believe our Surfactant business should remain relatively recession resistant. Our Polymer business most likely will face a reduction in demand as people defer or cancel re-roofing and new construction projects. We believe in the long-term prospects of this business, remains attractive and energy conservation efforts and more stringent building codes should increase demand. Our Specialty Products business should continue to benefit from medium chain triglyceride demand in the infant nutrition market. Our flavor and pharmaceutical product sales should be stable for the year. After a good start to the year, we are positioned to continue to deliver critical products to our customer base. However, our business is not without risk. The continued health of individuals throughout the supply chain, raw material suppliers, logistics providers, customers as well as our own employees is critical for sustained performance. We believe M&A represents an important tool as a means to deliver meaningful EPS and EBITDA growth over the next few years. Given the strength of our balance sheet, we will look to identify and pursue acquisition opportunities to fill gaps in our product portfolio and to add new platform chemistries. During the first quarter of 2020, Stepan acquired the NatSurFact business a Rhamnolipid-based line of BiosSurfactants from Logos Technologies. BioSurfactants produced via fermentation from renewable resources offer opportunities in several strategic end-use markets including agricultural, personal care and household cleaning. With our strong balance sheet and available liquidity, we believe we are well-positioned to operate in the challenging near-term environment. I want to close by thanking all Stepan employees for their effort and hard work to help us fight this pandemic. Additionally, we want to thank our customers, our suppliers, government agencies and the local communities in which we operate for all their support during this unprecedented time. We continue to be optimistic about our collective future and remain confident in the resiliency of people and the strength of the human spirit. We will get through this together. This concludes our prepared remarks. At this time we would like to turn the call over for questions. Pasha, please review the instructions for the question portion of today's call.
Operator: [Operator Instructions] Your first question is from the line of Vincent Anderson.
Vincent Anderson: Thanks. Good morning everyone.
Quinn Stepan: Good morning, Vincent.
Vincent Anderson: Good morning. So just briefly on agriculture. I was curious how much of the weakness in the quarter could you attribute to some delays in spring planting that we've seen started to abate here more recently. And following on that has the business improved more recently?
Quinn Stepan: What I would say is that, there was a high level of inventory coming into -- within the agricultural sector of our business coming into the season. So I don't know that we've seen significant delays in planting necessarily as we've seen a drawdown of existing inventories. We do anticipate the balance of this year in North America that we would kind of be on plan or equal to budget and we're going to offset the decrease in the first quarter in North America with global growth.
Vincent Anderson: That's helpful. Thank you. And then just quickly on the numbers in Mexico. How much of the improvement would you attribute to normalizing your operating conditions there versus an uptick in maybe COVID-related demand? And at that current run rate of improvement, what would that $4.2 million that you highlighted in 1Q look like in this quarter?
Luis Rojo: Yes. Vince, this is Luis. I will say half and half is viewed. Remember that last year we had the incident in Ecatepec, so of course, the 17% volume growth is also driven by that low base, but I will say half and half is the split.
Quinn Stepan: And I guess I would further add that the -- that most of the improvement that we've seen is not…
Luis Rojo: COVID-related.
Quinn Stepan: COVID-related. We are on plan with the volume that we put in our budget for the year. So we feel good about that. We did use that site to supply small amounts back to the United States during our Millsdale outage. But so -- but our Mexican volume is on plan.
Luis Rojo: Yes.
Quinn Stepan: And we do anticipate and we are adding additional buy side capabilities in Mexico. So we do see that as being an opportunity for the second half of the year primarily supporting the U.S., but those -- we also have new registrations that will allow us to sell that product line in Mexico.
Vincent Anderson: Great. And if I could just ask one more quick one on NatSurFact. Is that commercial scale already? And then…
Quinn Stepan: No.
Vincent Anderson: Could you just talk about -- it's not. Okay.
Quinn Stepan: No. It is -- we bought -- primarily what we bought is process technology and patented process -- specifically patented process technology. So that will accelerate our R&D program in that space.
Vincent Anderson: Okay. And just added curiosity what specifically about this portfolio interested you just kind of given historically fermentation-based chemistries have kind of struggled to maintain profitability?
Quinn Stepan: Yes. There's a significant pull that's beginning in the market for bio-based natural surfactants. So this is -- we have a number of products historically in our line that are derivatives from coconut oil or palm oil, but we see this as kind of a new -- the new frontier for surfactants. Generally speaking, they tend to cost a little bit more than petroleum-based surfactants, particularly with oil today at minus $37 a barrel. But we do think it's a long-term play and our customers, particularly the large consumer product companies are looking for bio-based products to formulate with.
Vincent Anderson: That's great. Thank you.
Operator: [Operator Instructions] Your next question is from the line of Mike Harrison.
Mike Harrison: Hi, good morning.
Quinn Stepan: Good morning, Mike.
Mike Harrison: I was wondering if you could help us understand the Millsdale outage kind of what the impact was from an operating income perspective in both the Surfactants business and the Polymers business, if you could?
Quinn Stepan: What I would say is we believe the cost in the first quarter were at least $10 million that cost to date would be equally split more or less between the Surfactants and the Polymer business. We may have some additional expenses in Q2 and those will be more directly applicable to the Polymer business. We have been shipping some material from Europe back to the United States and some of those -- some of that volume is still in transit.
Mike Harrison: All right. Thank you. And then I was also just wondering in terms of that outage in the Surfactants business, were you able to meet this increasing demand that's been associated with COVID and with the increase in demand for consumer cleaning and disinfecting applications? Are you kind of -- were you 100% able to deliver on Surfactant demand? And are you fully back to being able to be 100% fulfilling those orders now?
Quinn Stepan: Yes. And I would first say that our team at the Millsdale plant did a fabulous job restoring production at the site. And in addition to that, we had a lot of support from the other plants in our network in North America. So we actually lost a small amount of business in our Surfactant line during this period. So our inventories are generally low, as we were coming out of that period. So we weren't able to ship everything that the customers ordered, but pretty close, pretty close and -- in our Surfactant line. Not true for phthalic anhydride certainly and we did have some backorders in the polyol marketplace that we're shipping in April -- March and April. So -- but I would say we -- for the most part, we've been able to ship all of the COVID-19 related demand. And maybe if I could just expand on that a little bit. As you see some of the large consumer product companies and when they start and have started making their earnings announcements, they're talking about potentially an increase in demand for cleaning products on a sustained basis. We have sufficient anionic capacity. So it was our sulfonation product line in North America to support that in our amphoteric product line, which is our batch reactors. They tend to be used a little bit more in hand washing. We're snug I would say in that area, but have some incremental capacity that we could bring to the market to bear. And from a biocidal quaternary perspective, we have sufficient capacity to support growth in the market -- significantly more growth in the market. But in that case raw materials are a significant concern. And so, raw materials are limiting our ability to capture some increased demand in that space today. And we're trying to work with our suppliers across three or four different key product lines in that space to bring additional volume to the marketplace.
Mike Harrison: All right. That actually is kind of a question that I wanted to get to is, maybe understanding in terms of some of these applications that you're serving, can you walk through areas where you're seeing demand well ahead of normal? I assume things like hand soap or other hand washing types of products and disinfecting wipes that's off the charts right now. Can you just maybe help us understand where we are relative to normal and also maybe talk a little bit about the margin profile of some of those products compared to detergents which I think of is being lower margin and maybe some of the functional surfactants which I think of as being some of your highest margin products?
Quinn Stepan: Yes. So -- and I started to break it down a little bit. So let's start with the biocidal quaternary's first. So again, I mentioned those are for example are used in Clorox wipes are used in Lysol and other hard surface cleaning products in the marketplace today. Those products tend to be more profitable than some of the other materials in our range. There are three companies in the United States that have those products registered with the U.S. EPA. And again, so I would say when we sell additional volume it tends to be accretive to our business. Sales in the first quarter for those products were up...
Luis Rojo: 19%.
Quinn Stepan: Yes 18%, 19% for the first quarter with most of that increased demand occurring in the month of March. And then -- so that's one example. And then we talked about amphoterics, generally amine oxides and betaine specifically. Those tend to be more commodity products. And those -- that volume globally was up a little bit, but still low single digits. And then alcohol sulfates which are kind of companion products used in many of the hand soaps that was up order of magnitude of about 10%. So -- and I would say our ability to respond to the amine oxides and the betaine product lines, again that's where I said we had -- we're tight, but we have opportunities to squeeze a little bit more capacity or throughput from our assets.
Mike Harrison: All right. And then maybe a last question on the Polymers business. Just in terms of construction activity you mentioned the slowing that you saw during Q1 in Europe. It seems like Europe is kind of two weeks ahead of where North America is. So just maybe comment on how you saw construction activity trending in Europe and maybe what you're seeing in North America, I guess in March and thus far in April?
Quinn Stepan: We saw a significant decrease in activity in Q1 particularly in kind of March in Europe and -- significant decrease. And we see that as a possibility coming in the U.S. potentially in kind of May, June time frame, probably June. What we are also seeing in that space, some of the schools are pulling forward, some of their reroofing projects that have been previously approved and while the kids are not in the classrooms, we're looking forward to pulling some of the projects forward. So, we think, probably late May or June, we may see a decrease in activity in that space in North America.
Mike Harrison: All right. Thanks very much.
Quinn Stepan: Thank you, Mike.
Operator: [Operator Instructions] Your next question is from the line of David Silver.
Quinn Stepan: Good morning, David.
David Silver: Can you hear me here?
Quinn Stepan: Yes, we can.
David Silver: Okay, sorry. So I'm going to apologize in advance. I had to join the call a little bit late. So, I may be asking you to repeat yourself. But first question, I just wanted to review the cash flow in the first quarter, so not so much year-over-year but sequentially. And I just wanted to clarify that. But by my calculation, the net use of cash in the first quarter was $90 million 9-0. And I was just wondering if you could break that down, how much is kind of normal working capital build up let's say versus some incremental expenses or other items that are not purely working capital related? And just in general maybe compared to the last couple of first quarters, how does the draw this year for working capital and other uses compare? Thank you.
Luis Rojo: Yes David, this is Luis. What I will say is that cash consumption in Q1 is typical for us, right? I mean we have a lot of working capital usage in Q1, bonus payments in Q1 et cetera. So, at the end what we saw in Q1 was very similar to the other years. There are probably a couple of factors that were a little bit higher. CapEx was higher as we mentioned $33 million versus last year $25 million and we did share buybacks for $7 million in the quarter. So, those are the two particular numbers that are a little bit different versus other Q1s. But in general, we always have a cash consumption or cash consumption in Q1 in other years.
David Silver: Sure. Okay. Great. Second question would be about your Mexican facility. And my sense is that the improvement in financial results this quarter was a little bit greater than maybe I anticipated or that was indicated or expected from year-end. I was just wondering, you mentioned the 17% volume increase. On a scale of 0% to 100%, where do you think Ecatepec facility was operating during the quarter? And when do you think it would be back to 100%?
Quinn Stepan: Well…
Luis Rojo: There was incremental improvement above what we saw in the second quarter.
Quinn Stepan: Yeah. Let me answer that question a couple of different ways. One, I would say in terms of existing capacity we're probably in the 80% range. We do have a project to debottleneck that site that we are working on and we'll have additional capacity available probably towards the end of this year Q1 of next year. So we have an expansion project on. But the other thing there is a short-term issue right now in terms of COVID-19, the Mexican government has limited the -- and is restricting people over 60 years old to their quarters if you will they're sheltering in place. So we are short of some employees in our current Mexican facilities. We are having management work with our union employees to run the units today and we're hiring some temporary employees on site. But so there is a limit to how much we can push those sites until the pandemic eases and we can return a significant amount of our workforce back to the site.
David Silver: Okay. I had a couple of questions, I guess about just the broader market. So I apologize this might be a little garbled. But first question would be related to offshore competition. So in other words, I guess economic growth and demand for a lot of your products has declined globally. And I wonder if that translates into more opportunistic exporting out of Asia or whatever. I'm just wondering if you could comment on that maybe the dollar is a little stronger as well. I mean, how do you view that potential threat to either your demand or the pricing for your major products? And then I -- separately I was wondering if you could comment on your -- if you could follow-up or add some color to your comments about potential raw material cost savings. And the reason I mentioned that is I'm certainly aware of where oil traded yesterday. But my impression is the U.S. petrochemical market is not so much tied to oil these days but really to natural gas-based ethylene and ethylene oxide, ethylene glycol and things like that. And I'm just wondering for your main facilities that might be supplied out of the U.S. Gulf or wherever? I mean can -- do you see a meaningful raw material cost benefit or is the potential a little bit more, I don't know incremental. So, offshore competition and the potential for raw material cost savings. You could add some color there I'd appreciate it. Thank you.
Quinn Stepan: Okay. So from an offshore competitor perspective let me first deal with our polymer business because that's pretty straightforward. We see limited competition in the Polyol area coming from overseas. There is sufficient capacity in the United States today. And so we don't see a lot of imports into the United States. From phthalic anhydride perspective, molten phthalic anhydride is used by the majority of our customers. Molten phthalic anhydride is not imported into the United States. There are some bags or super sacks that come into the United States. So there is some offshore competition in phthalic anhydride. From a surfactants perspective, surfactants generally have a fair amount of water associated with it. And the commodity range of our products generally don't travel fairly well, the profitability of them would be offset by the incremental freight. And so generally, it's not a significant lot of competition in the commodity surfactant line. And when you get into the specialties lines various lines, you can see import competition, but in the buy side area for example that we've talked about there are U.S. EPA registrations that are required to sell the active ingredient and are required for people to have registered formulations to actually use the products as well. So there tends not to be a lot of import competitions in that space. In terms of – you're correct that the most of the U.S. chemical industry is based on natural gas versus oil, but the two do move together a little bit. And we do – it's too early to tell whether the – whether there's going to be margin improvement. But the prices for our polymer raw materials decreased – key two raw materials decreased 50%. So there will be impact on sales at a minimum as we go forward. And I think there's more opportunity within our Surfactants business for margin enhancement. I think there's a little bit of vulnerability relative to our polymer business, because we are planning for the Illinois River closure that we talked about. And so we had high inventories of high-priced raw materials. So, we're working through those today. But I think short term that's more of a vulnerability than an opportunity for us.
David Silver: Okay. Is it okay, if I ask one more here? Is that all right?
Quinn Stepan: Sure.
David Silver: I had a question, and I apologize, I'm going to ask you to put your product manager hat on a little bit. But in looking at – I was looking on a couple of government websites and in particular, I was looking at List N from the EPA, which includes more than 30 of your products that are approved for use against coronavirus. And I was just wondering, I mean, I was looking at the list more than 30 of your products are listed all of them are quats or quaternary compounds. But also on the list there were some non-quaternary products, isopropyl alcohol, hydrogen peroxide which, I'm assuming are lower-priced alternatives. So, could you maybe discuss in this current environment, how your quaternary's compete against the other approved products that are based on perhaps lower cost base antiviral disinfectants. Is there kind of a way to think about that? Or is it, I don't know all in the formulation and it’s too hard to kind of separate it apart?
Quinn Stepan: It's in the formulation, but it's also in the surfaces that you treat. So there -- bleach is a very effective disinfectant. It's very effective against coronavirus, probably more effective than biocide quaternary from a technical perspective, depending on the surface that you're cleaning depending on the surface that you're trying to treat. So our products are generally used in hard surface cleaning that they will not be damaged by bleach. So that's where the strength of our product line rests and again we're in Clorox wipes, we're in Lysol. So products that tends to be a little more gentle to surfaces, and -- but generally when you're talking about fighting a virus you want to use a range of active ingredients to fight them as well. So, beyond that you're going to get in over my head, so.
David Silver: So, over my head too, but no I apologize. I know there was a ton of detail on those lists that I kind of skipped over, but okay. Thanks very much. I appreciate it.
Quinn Stepan: Thank you.
Operator: [Operator Instructions] At this time sir, there are no further questions.
Quinn Stepan: Okay. And thank you all very much for joining us on today's call. We appreciate your interest and ownership in Stepan Company. We look forward to reporting to you on our second quarter call. Be safe, stay healthy. Thank you very much.
Operator: Thank you, ladies and gentlemen for participating in today's conference call. We ask that you now, please disconnect your lines.